Operator: Good morning. My name is Jessa, and I will be your conference operator today. At this time, I would like to welcome everyone to the TDS and U.S. Cellular Third Quarter Results Conference Call. [Operator Instructions] Ms. Jane McCahon, you may begin your conference. 
Jane W. McCahon: Thank you, Jessa. Good morning, and thank you all for joining us today. I'd like to make you aware of the presentation we have prepared to accompany our comments this morning, which you will find on the Investor Relations sections of the TDS and U.S. Cellular websites.
 With me today and offering prepared comments: from U.S. Cellular, Ken Meyers, President and Chief Executive Officer; Steve Campbell, Executive Vice President and Chief Financial Officer; and from TDS Telecom, Vicki Villacrez, Senior Vice President of Finance and Chief Financial Officer.
 This call is being simultaneously webcast on the TDS and U.S. Cellular Investor Relations website. Please see the websites for slides referred to on this call, including non-GAAP reconciliations. We provide guidance for both adjusted operating income before depreciation and amortization, or OIBDA; and adjusted earnings before interest, taxes, depreciation and amortization, or EBITDA, to highlight the contributions of U.S. Cellular's wireless partnership. 
 As shown on Slide 2, the information set forth in the presentation and discussed during this call contains statements about expected future results, future events and financial results that are forward-looking and subject to risks and uncertainties. Please review the safe harbor paragraph in our press releases and the extended version included in our SEC filings. Shortly after we released our earnings and before the call, TDS and U.S. Cellular filed their SEC forms 8-K, including today's press releases, in addition to our SEC forms 10-Q. 
 In terms of upcoming IR conference schedule, we'll be attending the Citi Global TMT conference on January 9. And additionally, Ted Carlson and I will be in New York and Boston next week with Raymond James. 
 Before turning the call over, I want to remind everyone that due to the FCC's anti-collusion rules, we will not respond to any questions related to the FCC auctions. 
 And now I'll turn the call over to Ken Meyers. 
Kenneth Meyers: Thanks, Jane. Good morning. Thank you for your time today, and a big thank you to the whole U.S. Cellular team for a solid third quarter. We made progress on every major priority this quarter. Handset adds, customer retention, revenue, EBITDA and network deployment all moved forward. In summary, we produced nice top line revenue growth that drove strong increases in profitability, leading us to yet again raise our 2018 profitability guidance. 
 Going a bit deeper. Let's start by reviewing customer results. We ran a number of successful promotions that drove 15,000 handset net additions this quarter. I'm pleased that we have again sequentially grown our gross additions and net additions. And handset churn remains slow at 1.02% per month. In late August, we revised our unlimited Total Plans, which we now call Unlimited with Payback. These new higher-priced plans give customers a monthly bill credit if they have used less than 3 gigabits of data per line, removing a potential barrier for customers that are considering an unlimited plan. Customers, both new and existing, continue to appreciate the simplicity of the Total Plan construct, and today, 61% of our postpaid customer base is on them, which is contributing nicely to our revenue growth this year. 
 While we saw good performance across our operating footprint, our Iowa properties were particularly strong, benefiting from the shutdown of the iWireless network. Competitively, industry remains aggressive and the focus of competition continues to be on device-related pricing, buy one get one frees and other types of discounting. We continue to work to balance customer desires and industry economics through different pricing mechanisms. At introduction of our Total Plans Unlimited with Payback is an example of that. 
 Industry-wide, switching activity remains low but the rate of decline has slowed somewhat. Level of switching activity has been impacted by equipment installment plans and customers keeping their devices longer. The latter influenced, in my opinion, by the price point of the newest phones. With phones now costing up to $1,000, customers are modifying behaviors and keeping the same phone longer. Our average customer now holds onto their device for 31 months, and I expect that to increase further. 
 With the holiday season right in front of us, we plan to continue with targeted promotions and programs to achieve our top strategic priorities of attracting new customers and protecting our customer base. Taking a step back for a second, our strategic priorities this year, included growing revenues and reducing spending to improve profitability, and we've been successfully executing on those goals. We have seen growth in revenues due to our larger customer base as well as an increase in average revenue per customer. This quarter, we also saw an increase in roaming revenue. Enterprise-wide, the organization continues to focus on cost management initiatives, and we remain on track to achieve our goals in this area. This is especially impressive as data usage continues to grow, averaging 48% growth on a year-over-year basis.
 Our network strategy remained a key driver to our customers' satisfaction and in the foundation of our value proposition in the small cities, suburban and rural areas we serve. Our network continued to perform well, even with increasing data usage. 23% of our postpaid customers are now on unlimited plans, and customers on these unlimited plans now use nearly 9 gigabits of data usage per month. We expect the data usage will continue to grow and drive capital investment for increased capacity. While our spend in 2018 is within our original expectations, as we look ahead, we expect elevated levels of investment, especially given the need for spectrum and network for 5G. 
 A little closer in, we are continuing to invest in our network as we prepare for our next Voice over LTE launch in New England and the mid-Atlantic areas in the first half of 2019. Getting back to 5G. We continue to test and learn about 5G through vendor trials. The most recent work has focused on better understanding the propagation characteristics of millimeter wave spectrum and how different deployment options can enhance that coverage. This quarter, we started testing standard-spaced radios. These technology learnings, combined with ongoing use case studies, are crucial inputs to our spectrum strategy, which will be the basis for any actions in the upcoming spectrum auctions. 
 The hard work from every associate in every part of U.S. Cellular, again, drove our strong performance. All-in, the combination of our revenue growth and cost initiatives resulted in a 19% increase in adjusted EBITDA. And I congratulate and thank the entire team on these results. 
 And now I'll turn the call over to Steve Campbell. 
Steven Campbell: Thank you, Ken. Good morning, everyone. I'll begin my comments by talking about postpaid connection. We ended the third quarter with approximately 4.5 million postpaid connections, which represented just under 90% of our total retail base. As presented on Slide 5, total postpaid gross additions in the third quarter of 2018 were 172,000, showing significant growth for the second quarter in a row. The growth occurred in the handsets category, which, as Ken said earlier, is driven by a number of successful promotions. Following a similar pattern, total postpaid net additions also improved significantly over the course of the year, with a loss of 1,000 connections for the third quarter. 
 Our next slide shows the activity for postpaid handsets, which has been an area of particular focus for us. Postpaid handset gross additions and net additions for the third quarter were 133,000 and 15,000, respectively. Again, note the nice trend of improvement over the course of this year. In addition to the net growth in handset connections, we continue to have handset customers upgrading from feature phones to smartphones. That helps to drive more service revenue given that ARPU for a smartphone is running about $22 per month more than for a feature phone. Including the upgrades, total smartphone connections increased by 33,000 during the third quarter of 2018. These upgrades and the handset growth contributed to the increase in service revenue. 
 Along with the growth in gross additions that we've achieved, postpaid churn remains low. As shown on Slide 7, handset churn was 1.02% for the third quarter. Churn for connected devices was 3.04%, still elevated as the heavily discounted tablets sold in connection with various fast promotion continue to roll out of contract. 
 Now let's look at the financial results for the third quarter beginning with a review of the impact of the new revenue recognition accounting standard. As a reminder, U.S. Cellular adopted the new standard, ASC 606, effective as of January 1 of 2018, using a modified retrospective approach. Under this approach, the new accounting standard is applied only to the most recent period presented and the cumulative effect of the accounting change related to prior periods is reflected as an adjustment for the beginning balance of retained earnings. As a result, our reported results for 2018 include the impacts of ASC 606, but our 2017 results are not adjusted and remain the same as previously reported. 
 Slide 8 of the presentation shows the impact of adopting ASC 606 on our third quarter 2018 result. From left to right, the columns show our results presented under the prior accounting standard, the adjustments resulting from the adoption of ASC 606 and our results as reported in accordance with the new standard. As shown, the adoption of ASC 606 has not had a significant impact on our financial results. The adjustments are relatively small. For the third quarter, the net impact to total operating revenues was a reduction of approximately $9 million or less than 1%, while total cash expenses were reduced by $5 million, also less than 1%. The impact to adjusted operating income before depreciation and amortization was a reduction of $4 million or 2%. 
 Next, total operating revenue. Total operating revenues for the third quarter were just over $1 billion, up $38 million or 4% year-over-year. If not for the impact of the new accounting standard, total operating revenues would have been up another full percentage point. Retail service revenues, the blue portion of the bars, increased by 4%, $659 million. The increase was due largely to higher average revenue per user, which I'll say more about later. Inbound roaming revenue, included in the gray portion of the bars, was $50 million. That was an increase of 35% year-over-year, driven by higher volume. Equipment sales revenues, the green portion of the bars, increased $16 million from 7%. Factors that drove higher revenues included an increase in the average revenue per device sold, a mix shift to higher-end smartphone devices and the impact of the new accounting standard, partially offsetting was the impact of a decrease in the number of devices. 
 Now I want to come back to postpaid revenue on Slide 10. First, note the nice consistent upward trends over the 5 quarters shown. The average revenue per user, shown at the left in blue, was $45.31 for the third quarter, up $1.90 or 4% year-over-year. The increase was driven by several factors, including shifts in mix to handsets and higher-priced service plans and higher device protection revenue. These factors were partially offset by the new accounting standard, which reduced ARPU by $0.23. We also saw an increase in average billings per user to $59.41. This metric includes equipment installments that show the total amount billed to customers every month. Equipment installment billings per user, shown in gray, continue to grow, consistent with the increase in penetration of the installment contracts within our base as well as an increase in the average billing per EIP contract. On a per account basis, average revenue and average billings grew by 3% and 7%, respectively, year-over-year. Connections per account were pretty flat. 
 So now let's move to our profitability measures. Adjusted operating income before depreciation and amortization was $197 million, up 18% from a year ago. Correspondingly, the margin as a percent of total operating revenues increased by more than 2 percentage points from 17.3% to 19.7%. For those watching service revenue margins, the current quarter result was 25.9%, up more than 3 full percentage points from the margin of 22.6% a year ago. As I commented earlier, total operating revenues of just over $1 billion increased by $38 million or 4% year-over-year. Total cash expenses were $804 million, up only $8 million or 1% year-over-year. The main area of increase was system operations expense. 
 Here, total data usage on our network grew by 48% year-over-year. However, system operations expense, exclusive of roaming, went up by only 5%, mainly driven by standard network maintenance. Given the large increase in data usage, again, 48%, the ability to contain network costs reflects the great work being done by our engineering and procurement teams across many areas. Data roaming expense grew by 29% year-over-year, driven by a 37% increase in total off-net usage. 
 Shown next is adjusted earnings before interest taxes and depreciation and amortization. This measure incorporates the earnings from our equity method investments, along with interest and dividend income. Adjusted EBITDA for the third quarter was $243 million, up 19% from a year ago. Most of that improvement is due to adjusted operating income before depreciation and amortization, which I just covered. Equity and earnings of unconsolidated entities increased $7 million or 19%. 
 Next, I want to cover our guidance for the full year 2018, which is shown on Slide 13. For comparison, we're also showing our 2017 actual results. As Ken mentioned earlier, we've updated the guidance from that provided in August. For total operating revenues, we now expect a narrower range of approximately $3.95 billion to $4 billion. As customers are holding equipment longer, we're seeing less equipment sales revenue, but service and roaming revenues are ahead of our original expectations. That's a good mix shift. For adjusted operating income before depreciation and amortization, we've raised the range at both ends and narrowed it to $760 million to $810 million. Similarly, we've also raised and narrowed the range for adjusted EBITDA to $925 million to $1 billion. For capital expenditures, current estimate is approximately $500 million. 
 Finally, a couple of comments about our cash position and liquidity. At September 30, cash and cash equivalents totaled approximately $730 million. In addition, we have nearly $500 million total borrowing capacity under our existing revolving credit and receivables securitization facilities. Now I'll turn the call over to Vicki Villacrez to discuss TDS Telecom. Vicki? 
Vicki Villacrez: Okay. Thank you, Steve, and good morning, everyone. Overall, we also had a very good quarter, reporting both top line and bottom line growth. And at the same time, we continued to make steady progress toward achieving our strategic priorities for 2018. Wireline continues to grow broadband connections and ARPU as customers are choosing higher broadband speed. And in cable, broadband connections grew 14%. Last quarter, I highlighted much of the success we are having in our new out-of-territory markets. As a reminder, our fiber growth strategy is 3-pronged: first, the new out-of-territory fiber construction in several corridors within Madison and 5 communities near Madison, currently targeting roughly 20,000 service addresses is underway, and builds on the completion of our initial market in Sun Prairie, Wisconsin, added another 10,000 service addresses built with fiber. Second, continuing to expand fiber in our existing markets, what we call fiber-deeper spending. We estimate our current plans will cover an additional 40,000 service addresses within our ILEC footprint. And third, we are progressing on our construction project under the A-CAM and state broadband program, which together will bring upgraded services to an additional 170,000 service addresses in total, of which, 40% of the A-CAM obligation is required to be in service by the end of 2020. 
 From an execution standpoint, we have encountered some pressure points with contractors and suppliers and have had some weather-related delays impacting our fiber build, not to mention a record 100-year flood in the Madison, Wisconsin, area. As a result, and as I had indicated last quarter, we are challenged to complete all of this work by year-end, and importantly, have revised our overall capital spending to be lower than planned, with some of this work moving into early next year. 
 I would also like to note, we did achieve an important milestone during the quarter. We finished the network upgrades required to complete the first of our A-CAM projects, providing expanded high-speed broadband services a year ahead of schedule. While this market was small, this event provides a good time to reflect on our overall A-CAM progress and the tremendous amount of work that is taking place across our network to build out the infrastructure that is necessary to provide a higher broadband speed to these under and unserved areas. We expect to have construction completed to approximately 15,000 A-CAM eligible service addresses by year-end. 
 Also, we continue to remain actively engaged in conversations with the FCC to advocate for full funding of the A-CAM program. The need for additional broadband expansion funds to further close the digital divide still exists, and we remain optimistic that the FCC will act on providing additional fundings by the end of the year. 
 Moving to Slide 16. TDS Telecom achieved a 1% increase in adjusted EBITDA by maintaining growth in wireline residential revenues, increases in A-CAM support and double-digit growth in cable revenue. On a combined basis, revenue increased 2%. Capital expenditures declined when compared to last year, so we're up 16% from our second quarter spend at $54 million, due to our fiber initiatives and the A-CAM build-outs. We expect our capital spending to increase substantially in the last quarter to support both programs as well as cloud TV deployments. 
 Now let's turn to our segments, beginning with wireline on Slide 17. We continue to meet the demands of our customer for higher broadband speeds and video services by leveraging the fiber deployments we have made. In total, about 15,000 of our network route miles are fiber built as a direct result of our fiber deployment strategy over the last several years, resulting in 24% of our wireline service addresses served by fiber. Our network investments are driving positive results as shown in the metrics on the bottom of this slide. Wireline residential video connections grew 12%. Compared to the prior year and on average, our IPTV markets continued to achieve about 30% penetration. This is ranging from 20% to 60% by market depending on the time that they launched. About 85% of our IPTV customers are on triple-play bundles, in addition, churn on these bundles continues to remain very low. 
 Our residential customer continue to choose higher speed of up to 1 gig in our fiber market, and approximately 30% of all customers are now taking 50-megabit services or greater. That's compared to 23% a year ago, helping to drive a 3% increase in average residential revenue per connection. 
 Looking at wireline financial results on Slide 18. Total revenues decreased 1% to $177 million. Residential revenues increased 1%, due primarily to growth from video and broadband connections as well as growth from within the broadband product mix. This was offset by a 7% decrease in ILEC residential voice connections. Commercial revenues decreased 8%, primarily driven by lower CLEC sales as we refocus to pursue commercial fiber and those opportunities are primarily in Wisconsin. Wholesale revenues increased $1 million or 2%. As a reminder, the FCC authorized and issued an order for TDS Telecom to receive an additional $3 million of support per year for 10 years retroactive to January 2017. As a result, we reported $5 million of additional A-CAM funds during the quarter, $4 million that was retroactive to January of 2017 as well as $1 million of increased support for the quarter. Partially offsetting this increase, however, were continued decline in special access, other regulatory revenues and the annual step down in inter-carrier compensation rates. 
 Wireline cash expenses increased 2%, due to higher video programming fees and contractor charges related to network maintenance. In the third quarter, as part of our continued focus on cost reductions, we recorded $1 million of severance expense. Wireline adjusted EBITDA decreased 6% to $61 million, primarily as a result of the decline in commercial revenues and the increases in cash expenses. 
 Now turning to Slide 19. We continue to see strong performance in our cable segment. Total cable connections, which were impacted by 2 small tuck-ins, grew 10% to $330,000, driven by a 14% increase in total broadband connections. As a result, broadband penetration increased 200 basis points to 42% compared to the prior year. 
 On Slide 20. Total cable revenues increased 11% to $58 million, driven primarily by growth in residential connections. Cash expenses increased 4%, due primarily to acquisitions and higher programming content costs. As a result, cable adjusted EBITDA increased 35% to $18 million in the quarter. In addition, we saw a meaningful EBITDA margin increase of 550 basis points to 31.6%. 
 We have provided our 2018 guidance on Slide 21, and we are reaffirming the guidance we shared in August, with the exception of capital expenditures. Our capital spending will increase significantly in the fourth quarter to support our fiber build-out and cloud TV initiative. However, as I explained earlier, we will be challenged to get all of our work completed and in service by year-end. Therefore, we are reducing our capital expenditure guidance for 2018 by $20 million to $250 million. Some of this is underspend is timing and will move into the early part of next year. We do have every incentive to accelerate where we can to get the projects done before year-end, and I will update you in February on where we end up. 
 So to recap, overall, we are very pleased with the quarter and the results we are seeing from our investments. Now I'll turn the call back over to Jane. 
Jane W. McCahon: Thanks, Vicki. And I'd like to make a few comments briefly on Slide 22 about our HMS business before we go to questions. 
 In the quarter, OneNeck's quarterly revenues were up, due to growth in equipment revenues, while adjusted EBITDA was essentially flat. OneNeck continued to add new logos in the quarter. And while we are pleased to see strategic revenues like cloud revenues grow, we have seen churn and compression for mostly legacy customers continue to impact our overall service revenue. OneNeck continues to implement additional cost-saving programs to improve their overall cost structure. 
 And now operator, we'd like to open the call for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Rich Prentiss from Raymond James. 
Ric Prentiss: Ken, I'd like to start with wireless. Obviously, some nice results there and you called out the team for putting it up. Can you talk to us a little bit further about the competitive environment? Are you seeing any impact from cable yet in your markets? And as you think of the balancing of gross adds, churn and ARPU, how you think the industry's going to shake out over the coming quarters? 
Kenneth Meyers: All right, Rick, flat there. In terms of what's happening on the ground right now not a lot of changes over what we saw the first -- really, the first full 9 months of this year. Yes, we've seen both Comcast last year and Charter this year start up but very, very, very limited impact. When I look at the port-ins and port-outs, except for being positive, except, primarily, due to our strength in Iowa, there's not a lot of change anywhere right now. The question in terms of where do we go from here? Huge impact of that one. I am feeling pretty good about where the industry is right now, and we're all looking at investing in a new technology cycle. And in order to invest in that technology cycle, we need to be able to have the funds out of the business to support that. And I think we're positioned pretty well to bring new services to consumers across the whole U.S. marketplace. And so I'm pretty optimistic right now. 
Ric Prentiss: Okay. And ARPU continues to be a bright spot. You called out the Unlimited with the Payback plan, how are you thinking of the ability of, one, smartphone conversions and then also Unlimited plans to help kind of your ARPU and overall pricing umbrella in the industry? 
Kenneth Meyers: Well, Steve talked about both the progress we continue to make on migrating our portion of the customer base that isn't on smartphones. That is an ongoing activity, we'll continue to work on that. Similarly, we've done a really good job over just the last year. 61% of our customers are now on -- of our postpaid customers are on these Total Plans, not all of them on the newest ones, but they're -- those are moving along nicely. And I think that's one of the things that we continue to work on, it's how do you get more value into the package for the customer so that they're willing to give you $2 and $3 and $4 more. One of the headwinds that you've got on one side, these $1,000 phones that are affecting people's upgrade rates. Now that's not a -- now at the industry level, at our level, as an operator, the fact that they hold them longer, that's okay, especially when you just start seeing some subsidization loss on equipment kind of flowing back into the competitive marketplace. On the other hand, it really drives the value proposition around the insurance policy. That's some really nice revenue for us too. 
Ric Prentiss: Okay. And I think, Steve also called out roaming, it was a pretty big roaming number, $50 million. Update us a little bit maybe on where you see that headed as you roll out probably more VoLTE into the marketplaces. How should we think about the roaming line heading? 
Kenneth Meyers: That roaming line has got a lot of different variables in it, right. And I think as we look at that revenue it is much harder to project that right now because we've got some great contracts around VoLTE that help lower our costs, they're also to lower revenue. We're seeing this explosive growth. We're bringing new carriers on, older carriers are converting their base like we are off of 3G to VoLTE, which, again, that there's a rate change in there. So great quarter, third quarter is always one of the higher roaming periods, both our own customers costs but also for revenue, is all summer travel stuff. So you'll see some sequential change as we just get into the fourth quarter in this season. But right now, we don't see it, excepting that, we don't see any other real big change right now. 
Ric Prentiss: And final one from me is speaking of change. Any sign of overbuilding by AT&T, FirstNet or T-Mobile with their 600-megahertz projects? 
Kenneth Meyers: We see construction activity that has been going on for some time, but we haven't seen any significant change in the actual in-market competition at this point. And we continue to strengthen in those markets by working on distribution, working on customer satisfaction, working on our network so we have customers that are fully satisfied in those markets today and in the future. 
Operator: Your next question comes from the line of Simon Flannery from Morgan Stanley. 
Simon Flannery: I think you made a comment about elevated levels of investment being required as we go forward. Is that a specific comment around 2019 CapEx? I think you mentioned spectrum purchases as well. But perhaps you could just elaborate on what we should be expecting there? 
Kenneth Meyers: Well, I'm not giving guidance at this point in time. But as we look at where we sit today, and the fact of the matter is, yes, we're investing in capacity, we're investing in capacity this year. That's kind of a normal level of spend, notwithstanding very substantial growth in data on a year-over-year basis. Because I look forward, we've got an auction that's about to start, and we have filed applications to participate in it. In addition to that, as we look forward, besides the actual auction, I expect we're going to start investing in our -- in some of our earliest VoLTE markets, we'll start investing in 5G next year. And so that's just as I think of '19 and '20 going higher, they're probably at a higher level than we've had in -- over the last couple of years. 
Simon Flannery: And on 5G specifically, it sounds like you're going to use it as sort of additional mobile capacity and performance. What are the use cases that are most interesting to you? I know Verizon's obviously rolled out fixed wireless. Is that something that you're also looking at? 
Kenneth Meyers: We absolutely are looking at fixed wireless. It's one of the fastest to the market services. Some of the more, I'll call, government-centric or business-centric, those are longer-lead time type of sales, and probably as we look at it, 2 to 3 years out in terms of development of that ecosystem in sales. But the fixed wireless, especially in our type of markets, is by far the fastest to market opportunity. 
Operator: Your next question comes from the line of Sergey Dluzhevskiy from GAMCO Investors. 
Sergey Dluzhevskiy: First question, Ken, is on the towers. Could you update us on your strategy for your sizable tower portfolio? I think you're -- you guys are probably #4 or #5 in terms of tower count in the country. So any update on that as far as increasing revenues and third-party tenancy rate? And potentially any benefit that you see in restructuring or financial engineering around this towers portfolio? Rather putting it in a dedicated fully-owned subsidiary or maybe in a joint venture because now as our operators have -- may allow you to pursue a strategy but also accelerate growth in rental revenues? 
Kenneth Meyers: Sure, Sergey. Yes, it's a really nice attractive portfolio, 4,400 towers. If I look at the revenue off of that, it's up almost 15% as I think about last year to this year in terms of what we're expecting there, and we like that. We continue to work with other carriers to appropriately monetize that asset. I say appropriately because every time we've made a technology turn, we have had to move or redeploy assets on those towers. And all the work that we're looking at now on 5G says we're about to do that again. Whether it's a way to get more out of millimeter wave coverage by moving up the tower again, whether it be by putting in MIMO and other things on the tower to get more capacity and coverage. So we've got a lot of changes that are going to go on. And nothing is more important to our whole strategy then be able to maintain a high-quality network and control of those towers ensures that we get first crack at that. So we will continue to drive revenue but drive it appropriately so as to not interfere with the bigger picture, which is how do we meet the growing demands of our customer base. 
Sergey Dluzhevskiy: All right. My second question is on cable entering wireless. I mean, you mentioned, obviously, the impact so far has been limited. But I was wondering on, I guess, the reverse side of this issue, as you look at your market, they're, obviously, Comcast and Charter but there are also smaller cable companies than your wireless footprint. Do you see opportunities, I guess, given your network quality to partner with some of those smaller cable companies to potentially offer MVNO services or fixed wireless capabilities that would, kind of, create new revenue opportunities for you? 
Kenneth Meyers: Yes, it's a great question. One of the challenges is the smaller the company, the greater startup cost investment. And so I haven't seen a lot of interest there. We've actually talked to the bigger guys a couple of years ago. But we'll keep looking at that one, Sergey. 
Sergey Dluzhevskiy: Okay. And one question for Vicki. In terms of cable M&A pipeline, if you could share your thoughts as far as where it is right now. And obviously, public multiples have contracted, so what are we seeing on the private side? And also in terms of, kind of, cable acquisitions going forward, how do you guys evaluate them versus -- in terms of capital use versus organic fiber build that obviously you're doing in discount. 
Vicki Villacrez: Sure. Sergey, first on the cable acquisition front. There's nothing new to share at this point in time. That doesn't mean that we don't continue to watch for opportunities both small and large. We haven't had any large deals as you know. But over the last 18 months or so, we have done a couple of small tuck-ins. We did 4 tuck-ins, actually, and that's helped to both strengthen our existing wireline and our cable footprint. In terms of strategy, cable acquisitions is an important part of our strategy. But as I said in my comments, we have a 3-pronged growth strategy, so that we have options. And as the market for the cable acquisition front has that slower with opportunities and higher pricing that we have with these deals that haven't been able to make those economics work. We are very encouraged and are following our out-of-territory and fiber-deeper strategy, meaning investing fiber back into our core business as well as expanding our footprint and overbuilding into new markets. And that all started with our Sun Prairie build, and we continue to be very encouraged what we're seeing come out of that. We have completed the Sun Prairie build. We had a great milestone here in the third quarter, adding our last 4 FTHs. And now we are expanding into 5 more communities surrounding the Madison, Wisconson, area. And these are markets that have great demographics and great growth characteristics, similar to what we saw with some of our cable markets. 
Operator: Your next question comes from the line of a Zack Silver from B. Riley FBR. 
Zachary Silver: So I have one for Ken and one for Vicki. On the USM side, I was just wondering if you could expand on the customer response so far to the Payback Plan. Have these been a significant differentiator enough to get the people into the stores? Or is it more of a retention tool for you. And then on the TDS side, yes, Vicki, you just touched on the out-of-home fiber builds, but if you could -- I think you said you've started to presell some of the Madison markets. If you could just give us an update on how those are tracking relative to what you saw in Sun Prairie? 
Jay Ellison: Jack, this is Jay Ellison. I'll comment on the USM side on your question there. Relative to Payback, it's both. We're trying to -- it's obviously out there to acquire customers and as well as a great retention tool as well for our customers as we continue to look at that total planned portfolio market. Relative to -- we launched it in late August, and we are just coming into really the first set of bill cycle for our customers out there. So I can't really talk to that. But the buzz is extremely positive. We've spent a lot of time in our Iowa markets, both external and internal. So as we go forward, we're very excited about it. And it is going to continue to help us grow our business both external, bringing them in, and clearly to keep our churn rates low. 
Vicki Villacrez: Great. And Zack, on the out-of-territory fiber builds, expanding a little bit on the comments that I made around Sun Prairie, which as you know was our first market that we launched and is now completed. Our take rates that we are seeing there are exceeding our experience in our ILEC fiber markets. And that's where we are the incumbent telco. And that's because Sun Prairie is a larger market with better demographics and has had a lot of pent-up demands for this premium services that we're rolling out with fiber. As we are in the middle of really building out and the expanding into the 5 communities in Dane County, we began preselling to these markets beginning in May. And early indications are very similar to what we saw in Sun Prairie. The ramp-up in the sign-up rate was faster than we had expected. So we're encouraged early on, and we are right now targeting to launch these new markets in the early spring of next year. 
Zachary Silver: Okay. Great. And then maybe just one more quick one if I could. For the -- it looks like you raised on the USM side, the guidance for the -- for equity incomes, for the partnerships like L.A. and New York, and I was wondering what is driving that performance? And also, is there anything in 2019 that could maybe change that growth trajectory? 
Kenneth Meyers: Well, subscribing, if you look at it, that went up just the same percentage as what our EBITDA did. And I think those are different -- it's the accumulation of a couple of different investments. But they're seeing things -- growth in bottom line. And I'm certain it's more the same impact that we're seeing now. Given that those are in larger markets than our typical market, what plays out on the same competitive front that we talked about earlier, probably impacts that. So depending upon either your outlook or what actually happens around the competitive environment in the largest markets, I think that's how -- what you'll see going through that line item. Those markets have been great investments for a long, long time. They continue to support a very nice cash distribution. 
Operator: Your next question comes from the line of Michael Rollins from Citi. 
Michael Rollins: Just curious for your gut feel for pricing and the environment competitively as you look out over the next 24 months in either a deal scenario where the proposed wireless merger gets done, and in no-deal scenario where it doesn't. And maybe you could explain how you think the pricing environment may evolve similarly or differently in that context? 
Kenneth Meyers: If I had a clear crystal ball I'd be at the racetrack this afternoon. I know what I think ought to happen, right. I mean, as I said, a lot of investments that we're starting all over in this industry, and you've got to pay for that, and you can't pay for that on a weakening revenue stream. I think across the board, we've seen some nice growth in revenues that fall into the bottom line for everybody, and that helps pay for the investments to bring consumers the new services that we're all talking about. We've seen in the past what happens when you decide to do just the opposite, and that's play with price. Everybody has moved down when they've done that. And that just will impact our abilities as an industry to invest. We've all been working to get a lot more spectrum made available from the government. So we've got lots of auctions coming up. And I think that -- and I think or hope at least that given all that investment that's going on, people are smart enough to find ways to pay for it. And I think that happens regardless of what happens in the M&A environment because everybody still in the same place, which is investing. 
Operator: [Operator Instructions] The next question comes from the line of Kevin Roe from Roe Equity Research. 
Kevin Roe: Ken, it's terrific to see the execution momentum in mobility. A couple of questions. First, as we move into the 5G world, can you update us on your thoughts regarding scale at U.S. Cellular versus the competition? It's interesting to see one of your competitor's FCC merger filings lamenting their subscale nature and inability to compete long term in 5G. And the second question is, if you could share the latest key takeaways from your millimeter wave trial? 
Kenneth Meyers: Okay. Scale is still -- a lot of it is local and regional, and In fact when we get into a 5G world where coverage is impacted by the dynamics around millimeter wave, it may stay there, right. It's our ability to meet the needs of those Coney City in-state governments that we serve, I think is a meaningful size market, similarly the midsized businesses in our markets. This isn't -- a lot of those services are not going to be nationwide. It's about having coverage right where the customer has a need. So we'll have the same challenges we've always had. We don't have quite the same buying power than anybody else has. But those are things that we faced before, and I don't know that 5G dramatically changes that at all. In terms of -- from the tests we've been doing. Mike Irizarry, who's our CTO, is in the room and he is much more qualified to answer a question like that than I am. 
Michael Irizarry: Kevin, thanks for the question. So we've conducted several trials this year with millimeter wave. And I'd say the 2 main things that we've taken away from the trials, the coverage of millimeter wave is much greater than originally thought. We've been seeing usable signals 1 to 2 kilometers out. And it's a function of how high you mount the millimeter wave antennas on the tower. So we're thinking about that in terms of how it would impact our deployment should we move forward. The second thing is just the rate of maturity of the equipment from trial to trial is faster than any previous technology that I've seen. And that's not just on the infrastructure side, that's on the handset side. So I think there's a lot of learnings that we're gathering. We are still trialing the core aspects of the technology, and we continue to do so. But it's very promising what we're learning from the trials. 
Kenneth Meyers: And Mike's comment about the ability to influence millimeter wave coverage by placement on the towers takes you right back to the comments when I was talking to Sergey about the importance of controlling that geography on the tower. And so that's why as we think about auctions around the tower, it's subject to what we need on the network side. 
Operator: There are no further questions at this time. I'll turn the call back over to the presenters for closing remarks. 
Jane W. McCahon: Thank you for joining us, and look forward to continuing the discussion. Have a nice weekend. 
Operator: This concludes today's conference call. You may now disconnect.